Operator: Hello and welcome to The Manitowoc Company Third Quarter 2023 Earnings Call. [Operator Instructions] I will now turn the conference over to Ion Warner. Please go ahead.
Ion Warner: Good morning, everyone and welcome to The Manitowoc conference call to review the company's third quarter 2023 financial performance and business updates as outlined in last evening's press release. Today, I'm joined by Aaron Ravenscroft, President and Chief Executive Officer; and Brian Regan, Executive Vice President and Chief Financial Officer. Our call includes a slide presentation which can be found in the Investor Relations section of our website under Events and Presentations. We will reserve time for questions and answers after our prepared remarks. [Operator Instructions] Let's move to Slide 2 on our safe harbor statement in the material provided for this call. During today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company's latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statements, whether the result of new information, future events or other circumstances. And with that, I will now turn the call over to Aaron.
Aaron Ravenscroft: Thank you, Ion and good morning, everyone. Please turn to Slide 3. Overall, I was very pleased with our team's execution during the third quarter. It's typically the most challenging period of the year for our operations and 2023 was no different. Although part shortages and vessel delays continued to plague us, sales for the quarter were $521 million and our adjusted EBITDA was $33 million or 6.4% of sales. Non-new machine sales increased 21% year-over-year to $155 million. Please turn to Slide 4. Manitowoc continues to transition from a product-driven company to a services-oriented business. I'd like to highlight a few wins during the third quarter that demonstrate the changing business model under our Cranes+50 strategy. To start, we recently won an order for Maxim Crane Works, the largest crane rental house in North America, to rebuild 14 Manitowoc 2250 crawler cranes. The first 2 cranes arrived at our facilities in September. This multiyear project brings real value to this important customer by lengthening the productive life of their assets. The key to winning this work was the close collaboration between our MGX and Manitowoc aftermarket teams to align the cost and pricing of parts and labor for an acceptable end-to-end margin to meet the customers' expectations. This is an excellent example of the synergies we continue to realize from our acquisitions. A big thank you to our teams leading the project and to Maxim for their business. On the back of this win, we recently expanded our MGX footprint with a new branch in South Carolina. In addition to providing more capacity for remanufacturing work, this location will represent our Potain and National Crane boom truck product families. This new facility brings our combined MGX and Aspen footprint to 18 branch locations. Next, in Latin America, we opened a new facility in Lima, Peru. This branch will serve Peru's growing mining industry with local parts warehouse for faster delivery combined with a team of service technicians. Including this new facility, Manitowoc now has 5 locations throughout Latin America. Moving to the other side of the world. Year-to-date, we've delivered 22 used tower cranes to Turkey, Azerbaijan and Georgia. Since the humanitarian crisis unfolded in Turkey after the February earthquake, Carina El Rkaiby, Regional Sales Manager, has worked hard to support the expedited reconstruction efforts in the region. Carina has set a great example of cross-regional leadership, locating several used cranes from Asia to help meet the short lead time demand in Turkey. As the saying goes, when life hands you lemons, you make lemonade. The crisis in Ukraine forced a complicated exit from our Russian business in 2022. We enjoyed a leading market position there for many years and had some very talented, long-tenured team members. At the time, we took a leap of faith and relocated several of our key team members from Russia to the Dubai location. We didn't need the extra staff but we wanted to retain as many people as possible. Sales Manager Sergey Neznamov was one of those team members. Since his move to Dubai, he has reinvigorated our business activity in several CIS countries and Georgia by executing our Cranes+50 strategy and introducing used tower crane sales. Whether addressing lead time issues or finding the right crane for the project, our team in the Middle East has done a great job of using all of their resources to serve our customers. Well done Carina and Sergey. Cranes+50 is taking hold in every corner of Manitowoc. After 120 years as a product company, I'm extremely proud of how our team is making the transition to become services-oriented business. Please turn to Slide 5. If Cranes+50 is our engine for growth, The Manitowoc Way is our fuel. As I mentioned in recent quarters, demand for tower cranes is softening in Europe and overall business in the Middle East is booming. At our Niella, Italy factory, we manufacture self-erecting tower cranes and rough terrain mobile cranes. During the third quarter, we expanded our rough terrain manufacturing footprint in Niella to help us serve the growing Middle East market. We use lean techniques throughout this process and redeployed our operations team members to optimize the production of mobile cranes while mitigating the impact of the tower crane market decline on our local workforce. Led by Diego Marabotto, the transformation was completed in August during the summer shutdown. I'd like to congratulate his group on great teamwork. Last month, during my visit to Wilhelmshaven, Germany facility, I had the opportunity to see how the team increased our capacity on the boom paint line by 70%. With a little capital, a little creativity and some elbow grease, the team separated the return line to make Shuttlelift [ph] and paint 2 distinct lines. They improved the unloading of parts, renewed the control system and implemented an ultra-solid paint formula for our gray tele-cylinders. A year ago, this was our number one bottleneck in the factory. Not anymore. [Foreign Language] to the Wilhelmshaven team. Please move to Slide 6. Turning to my market update. The positive trend in the United States continued during the third quarter. A few key dealers placed initial orders for 2024 to guarantee their build slots. Rental rates are holding up and utilization remains high at crane rental houses. Finally, dealer inventories remain at sufficient levels to support the current retail pull-through. Similar to last quarter, we remain cautious in the short term about the U.S. market. We still have a lot of cranes to deliver to our dealers before year-end which could lead to excess inventory in the channel if the economy pulls back. Nevertheless, we maintain a positive long-term outlook on the U.S. market. At this point, we're still waiting for the infrastructure and CHIPS bill to come to fruition. Europe, however, remains a different story. As previously discussed, inflation and the subsequent increases in interest rates has significantly curbed activity in the residential construction market which has negatively impacted tower crane demand. Tower crane machine orders for the quarter were down 55% year-over-year. Please move to Slide 7. As of August, housing permits were down 37% in France and 34% in Germany year-over-year. I recently visited several French dealers and customers and their sentiment confirmed the market statistics. Utilization is down, rental rates have dropped and everyone is waiting for the government to intervene. At the moment, rental math is upside down. It's tough for a rental house to justify growing their rental fleet when rental rates are declining and interest rates and crane prices have risen. The majority of the demand that we see is from customers that are proactively managing their long-term fleet renewal strategy. Many fleets on average, are over 15 years old and the owners cannot afford to let their fleets age much longer. I expect this environment to continue into 2024. Please move to Slide 8. Fortunately, the European mobile cranes business is not impacted by the soft residential construction market as tower cranes. Although there are plenty of headwinds in the mobile cranes market, the impact varies throughout Europe. Germany, the single largest all-terrain market in the EU has slowed and the Scandinavian countries are being adversely impacted by FX. In addition, France and Benelux showed their first signs of weakness in the quarter. Demand in the U.K., Italy and Iberia continue to hold up. As I stated last quarter, our efforts to improve quality, grow our service and launch new products will help buoy our business. The upcoming launch of 2 new four-axle all-terrain cranes will help us maintain our momentum. In the Middle East, in contrast to Europe, demand continues to grow at a rapid pace. Our orders increased 57% year-over-year during the quarter. Saudi Arabia's sweeping efforts to modernize have lifted the entire region. Lastly, the Asia Pacific market remained mixed but slow overall. China remains very soft and the sentiment is starting to spread outside of the country. Moreover, the purchasing behaviors for cranes in the region are pretty similar to those in Europe. Generally speaking, tower cranes are clearly in a down cycle, while mobile cranes appear to be holding up. On the positive side, the Indian market continues to be strong. In South Korea, there has been some progress, mainly with mobile cranes and the Samsung's next big project is moving forward which is good news for the tower crane business. And finally, Australia remains a bright spot. With that, I'll turn the call over to Brian.
Brian Regan: Thanks, Aaron and good morning, everyone. Please move to Slide 9. Let's start with orders. During the quarter, we had orders of $531 million, an increase of 13% from a year ago, exceeding our expectations. The year-over-year increase was driven by higher orders in our EURAF and MEAP segments. In the Americas segment, orders were slightly lower year-over-year. The increase in EURAF was primarily driven by mobile crane orders which more than offset the significant decline in tower orders. In MEAP, as expected, demand in Saudi continue to drive the order increase. Foreign currency favorably impacted orders by $14 million. Our September 30 backlog was flat sequentially at $1.028 billion and increased 9% year-over-year. The makeup of our backlog is consistent with the second quarter. It's predominantly in the Americas. Net sales in the third quarter were $521 million and increased 15% from a year ago. The year-over-year increase was driven by pricing in response to inflationary pressures, higher crane shipments and higher non-new machine sales as a result of executing on our Cranes+50 strategy. Non-new machine sales increased 21% year-over-year to $155 million. From a trailing 12-month perspective, non-new machine sales exceeded $600 million for the first time, reflecting great progress by the team on Cranes+50. Net sales were favorably impacted by $15 million from changes in foreign currency exchange rates. SG&A expenses were $12 million higher year-over-year at $77 million, primarily due to higher employee-related costs. Foreign currency exchange rates contributed $2 million to the year-over-year increase. As a percentage of sales, SG&A expenses were 15%, relatively flat year-over-year. Our adjusted EBITDA for the quarter was $33 million, an increase of $9 million or 39% year-over-year. Adjusted EBITDA margin was 6.4%, an increase of 110 basis points over the prior year. As a reminder, the third quarter is generally our slowest quarter due to the summer shutdowns in Europe. Flow-through on the year-over-year incremental sales was 14%. This illustrates the impact of the slower tower crane business. Third quarter depreciation and amortization of $14 million decreased $1 million compared to the prior year. Our provision for income taxes in the quarter after adjusting for the favorable settlement of a tax matter was $3 million or 29% of our adjusted pretax income. As a reminder, we have tax valuation allowances established for certain countries and therefore, losses in those countries are not available to offset income tax expense in profitable jurisdictions. Our adjusted EPS in the quarter was $0.22, an increase of $0.12 from the prior year. Please move to Slide 10. Our net working capital increased year-over-year by $57 million or $51 million on a currency-neutral basis. This increase is driven by inflation, supply chain and logistics constraints and higher backlog in the Americas. As a percentage of trailing 12-month sales, net working capital was 22%, slightly favorable year-over-year. On our last call, we targeted a $75 million reduction to our inventory balance by the end of the year. During the quarter, we made some progress to this goal and we are still committed to achieving an additional $70 million of inventory reduction by the end of the year. Moving to cash flows. We generated $26 million of cash from operating activities in the quarter. Capital expenditures were $23 million, of which $15 million was for the rental fleet. As a result, our free cash flows in the quarter were $3 million. Due to the timing of receivables, we are likely to be at the low end of our free cash flow range which is $30 million to $50 million. We ended the quarter with a cash balance of $40 million which was an increase of $14 million sequentially. Total outstanding borrowings under our ABL decreased $12 million, resulting in $70 million outstanding at quarter end. Other debt increased $24 million, bringing our total liquidity to $256 million. Due to the continued strong adjusted EBITDA, our net leverage ratio was 1.9x at the end of the quarter, well under our target of 3x. In October, our Board of Directors approved a $35 million share repurchase program which will be primarily used to buy back our share creep, replacing the prior authorization. Please turn to Slide 11. Given the strong performance in the quarter, we are updating our full year guidance as follows: net sales, $2.175 billion to $2.225 billion and adjusted EBITDA $160 million to $180 million. With that, I will now turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Brian. Please turn to Slide 12. Although we continue to manage the economic ripples created by the COVID crisis, Manitowoc has made great strides on its strategy throughout this period. We have a lot of work to do to close out 2023 but we're well positioned to deliver a strong performance for the year. As for 2024, it's still too early to provide any concrete guidance but as I read the tarot cards today, our business in the U.S. should be supported by our strong backlog and increased aftermarket focus. Europe is going to be tough as we have very difficult comparisons in the first half. The Middle East continues to strengthen, although it's still a smaller part of our business. And Asia Pacific will be flattish at best. Overall, I believe that our 2024 results will be determined by: a, the resilience of the U.S. economy in a contentious election year; and b, how quickly the EU governments react to address the escalating housing crisis. Long term, I remain optimistic that the crane renaissance is on the horizon. First and foremost, the majority of large rental fleets around the world are getting long in the tooth. Many of them are 15 years old on average. This simply isn't sustainable. For example, there's no doubt that a crawler crane can work 30 to 40 years but most of those late years are spent on projects where the hourly demand is quite minimal, like a small bridge project in the middle of Wisconsin. These old cranes are not accepted on new stadium or semiconductor projects. Several drivers will contribute to the much-needed fleet refresh, including Saudi Vision 2030, major programs in Europe that are aimed at overhauling their energy strategy, such as offshore wind farms and nuclear power plants and the U.S. infrastructure and CHIPS bill. In addition, for electrification in the U.S. to succeed, production of electricity needs to increase by some threefold with massive investments in distribution. Please move to Slide 13. To reflect this view, combined with the learnings that we've taken from our recent acquisitions, we are updating our long-term aspirations. We are increasing our sales target from $2.5 billion to $3 billion. We expect a split between organic growth and acquisitions to be more or less equal. We are also raising our non-new machine sales target from $675 million to $1 billion. Although we cannot time them, we have assumed a few acquisitions. In terms of profitability, we are increasing our adjusted EBITDA margin target from 10% to 12%. If you recall, we weren't far off the 10% mark in 2019. And when we look out over the next 5 years, we expect to see the benefits of additional volume and improved mix as we grow our non-new machine sales. In closing, to borrow a line Berkshire Hathaway's 1968 Annual Shareholders' Letter, "Our goal is to obtain a reasonably stable and substantial level of earnings power commensurate with the capital employed in the business." We've come a long way since 2016 and I'm looking forward to seeing what our team can achieve over the next several years. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Stanley Elliott of Stifel.
Stanley Elliott: I guess for starters, it sounds like the Middle East business sounded very positive. And I was curious if you're seeing any sort of an impact or any sort of discussion with kind of the war that's going on over there as it relates to your business.
Aaron Ravenscroft: Yes. I mean, I think everyone is talking about it but we haven't seen it impact the business. I mean Israel's a long way from Saudi and the Saudis continue to execute their Saudi Vision 2030. So from a project standpoint, everything is still very active. I would say no impact.
Stanley Elliott: And I guess I'll kind of switch to the aspirational targets. So raising on the non-machine piece, that's a pretty good-sized jump. I mean is it that the remanufacturing piece is going better? Is it better parts, better service, just more of an expanded footprint? I'd love to see kind of what some of the drivers are to get you from that $675 million to $1 billion.
Aaron Ravenscroft: Yes. I mean the core of it is always around getting more locations and getting more service text is because that really is what drives the rest of the business. The other component of that is we have to continue to get better at the used business. I think we had a great year in terms of used this year, given the fact that we've had so much increases in prices, that business has been hot. But there's still a lot more activity for us like doing more trade-ins coming out of Europe to move those used machines in the United States. There's a lot more activity like that, that we need to continue to get better at.
Brian Regan: And there's no doubt that we'll need some acquisitions to get to that number as well.
Aaron Ravenscroft: Yes.
Stanley Elliott: And then lastly for me, kind of as it relates to the updated guide in the fourth quarter. Is there anything that we should be aware of on a year-over-year basis, comp-wise? I mean it would seem like that the business with the order rate and the non-machine sales would be tracking at least to the high end of the revenue guidance, if not better and then the EBITDA piece has kind of been tracking quite well. too. So just curious, any color that we should be aware of on that.
Aaron Ravenscroft: Yes. There's sort of 3 components when we look at it. First is the tower crane business. If you compare year-over-year, we're off $15 million from an EBITDA standpoint in the tower crane business. So that's the first big headwind for us. Fortunately, we have mix and we've been cautious around the vessel issues. A lot of cranes we've got going on vessels in the North Sea and it's always hard to predict how the summer is going to play out.
Operator: Your next question comes from the line of Jerry Revich of Goldman Sachs.
Clay Nelson: This is Clay on for Jerry. Quick question. How about lead time? How have lead times trended for new orders? Have we seen some normalization in the supply chain or the lead times there are still extended?
Aaron Ravenscroft: It just depends product to product. I would say, I mean, there's areas in tower crane business where demand is soft enough where lead times are back to normal but we still have some product lines that the lead times are pretty strong.
Clay Nelson: And a quick follow-up. Can you give some -- just quick color on what you're seeing in the M&A pipeline? It sounds like that's a bigger portion of things to come in the future.
Aaron Ravenscroft: We're active and we have a full funnel but you can never predict timing on deals. So I'd say it's no real change for us. We just keep working on it.
Operator: [Operator Instructions] Your next question comes from the line of Mig Dobre of Baird.
Mig Dobre: And congrats on a good quarter here. I want to go to Stanley's question from a moment ago on the guidance. I mean, I appreciate the fact that you have to have a little bit of room to maneuver but $20 million range on -- with just the fourth quarter left on EBITDA, I mean, you can drive a truck through that. So I'm -- can you maybe help us put a finer point on this?
Brian Regan: Yes. I mean I think, as you know, mix is a huge component for us. So $20 million, we narrowed it down and we raised the bottom end $10 million this quarter. So yes, I think we feel comfortable that, that $20 million is a reasonable range on the $50 million of revenue spread based on the mix changes. And as Aaron pointed out, there's still a lot of uncertainty around vessels going into the fourth quarter. So that's contributing to some of the concern or guiding to the low end on our free cash flow numbers.
Aaron Ravenscroft: I mean, we essentially have no backlog in tower crane business so we just hand them out.
Brian Regan: Yes. And that contributes -- that's one of our highest margin businesses, especially when you consider the underutilization that's happening currently.
Mig Dobre: From a price/cost standpoint or really all the other items that you guys have to manage on the cost side, how are you looking? And what's been happening here through the year? Is that positive? Because I'm presuming it's positive. Price/cost gap starting to narrow? Is that a factor into in Q4? Or is it just mix?
Aaron Ravenscroft: Yes, I would say that has no impact on the fourth quarter. You might comment on cost price but it's generally normalized. And it's interesting because sort of the conversations have shifted. Now the conversations are more about, in fact, this dollar is so strong and we have competitors coming from areas where they have weak currency like the yen where the tower crane business is feel super competitive because of demand low and aggressive Chinese competition in places like Middle East. So as I say, I think we're past that now for the most part. And we're back to having more normal conversations around how do we tell us so we get prices up.
Operator: Your next question comes from the line of Tami Zakaria of JPMorgan.
Unidentified Analyst: This is Chaya [ph] on for Tami. For our first question, can you provide a little bit more color on your backlog? And maybe if you could talk about how they're trending by region or by product?
Brian Regan: Yes. As we mentioned, the majority of our backlog is in the U.S. So that hasn't changed from last quarter. And we don't give backlog product by region.
Unidentified Analyst: Okay. Got it. And then just a quick follow-up. What are the key areas where you continue to see most cost inflation?
Aaron Ravenscroft: In terms of most cost inflation, I mean labor is still a challenge and a concern, especially with some of the news you've seen in the United States.
Brian Regan: So we see it through a lot of the fabricated parts where our suppliers are adding value and labor plays into that. So that's still the biggest piece.
Aaron Ravenscroft: I think the other thing I'd add is that a lot of folks look at the normal steel pricing on Bloomberg and say, "Hey, it's way down." The biggest challenge that we have is a lot of our steel is really high end. High-strength steel that comes from a couple of specialty suppliers in Europe. And right now, they've got a lot of demand because of everyone building military equipment. And we have not seen those prices go down the way you've seen flat steel go.
Operator: We have a follow-up question from the line of Mig Dobre of Baird.
Mig Dobre: I got to say, you guys are very tight on enforcing the one question and one follow-up. So I got back in the queue because I had a couple more. So, I -- given the way you're talking about the fourth quarter guide and the implied margin, right and I appreciate the fact that the tower cranes' backlog is extremely low, as you said. What's the implication here for margin in the front half of '24, right? Because the comparisons, it would strike me as being relatively difficult versus 2023.
Brian Regan: Yes. I think that's a very fair comment. I mean that's our concern about '24 is that the comps in the first half related to towers and then how does the U.S. hold up.
Aaron Ravenscroft: May be out, particularly in the second half.
Brian Regan: Where do we end the year with our dealer inventory and it's, in particular, on the all-terrain side. But yes, that's exactly our concern.
Mig Dobre: Okay. Well, I appreciate that. But I mean, is the fourth quarter implied margins sort of indicative of the kind of run rate that we should be thinking for the front half of '24, if mix remains similar?
Aaron Ravenscroft: No, I don't think that's fair. And I'd also add that we're right in the middle of the budget process. So it's not possible for us to really give you an answer that you're looking for, I think.
Mig Dobre: Okay. And then I guess my final question is on kind of a general question on pricing. You already touched a little bit on what's happening from an FX standpoint. That's something that we've been wondering about quite a bit given the weakness in the yen. As you look at model year 2024 cranes, is there some sort of color that you can provide as to how you see pricing?
Aaron Ravenscroft: Every year we're in a normal year, we're going after a couple of points in pricing and I don't think this year will be different. I do think though, when you look at where the yen is that -- I don't know if it's JPY150 or JPY151 today and that's a major advantage for our competition. So it's a tough fight.
Brian Regan: And the euro has bounced around as well. So we do buy from ourselves from our plants in Europe to the U.S. but we're -- so I think we've got competitors, though that are shipping product that they're building in Europe that we build in the U.S. So it's the euro as well as the yen that's playing into that.
Operator: There are no further questions at this time. I will now turn the call over to Ion Warner for closing remarks.
Ion Warner: Thank you. Before we conclude today's call, please note that a replay of our third quarter 2023 conference call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in The Manitowoc Company. We look forward to speaking with you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.